Operator: Good day and welcome to the Enable Midstream Partners’ Second Quarter 2018 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like turn the conference over to Enable's Senior Director of Investor Relations, Mr. Matt Beasley. Please go ahead.
Matt Beasley: Thank you and good morning, everyone. Presenting on this morning's call are Rod Sailor, our President and CEO; and John Laws, our Chief Financial Officer. We also have other members of the management team in the room today to answer your questions. Earlier this morning, we issued our earnings press release and filed our Form 10-Q with the SEC. Our earnings press release, Form 10-Q filing and the presentation that accompanies this call are all available in the Investor Relations section of our website. We will also be posting a replay of today's call to the website. Today's discussion will include forward-looking statements within the meaning of the securities laws. Actual results could differ materially from our projections and a discussion of factors that could cause actual results to differ from projections can be found in our SEC filings. We will also be referencing non-GAAP financial measures on today's call, which we have reconciled to the nearest GAAP measures in the appendix to today's presentation. We invite you to review the disclaimers in this presentation for both forward-looking statements and non-GAAP financial measures. With that, we'll get started. And I will turn the call over to Rod Sailor.
Rod Sailor: Thanks, Matt. Good morning. And thank you for joining us for today's call. The second quarter of 2018 was another great quarter of performance for Enable. We are excited to report that we placed Project Wildcat into service in June, a project that is now providing one of our key customers, Continental Resources with access to premium natural gas markets in North Texas, while adding significant processing capacity for our growing Anadarko Basin production. We also contracted or extended over 1 million dekatherms per day of transportation capacity during the quarter including re-contracting with MRT's largest customer. In addition, the partnership achieved record quarterly natural gas gathered and processed volumes, natural gas liquids production and crude oil gathered volumes driven by continued producer activity and strong well results. These increased volumes contributed to higher total revenues, gross margin, adjusted EBITDA and DCF for the quarter compared to the second quarter of 2017. Before I move on to the next slide, I want to give an update on a couple of organizational changes. Paul Brewer, our Executive Vice President of Operations, has announced his plans to retire from the company early in 2019. In conjunction with that, I am pleased to announce the promotion our Chief Commercial Officer, Craig Harris, to the newly created Chief Operating Officer role effective January 1, 2019. In this new role, we will consolidate our commercial operations, engineering and construction functions under Craig. With this move, Enable continues to be well-positioned to provide creative, safe and cost-effective solutions for its customers. Paul will continue in his current role through year-end to ensure a seamless organizational transition. Turning to the next slide. As I mentioned, we continue to see strong rig activity and there are currently 42 rigs drilling wells expected to be connected to Enable's gathering systems. In the Anadarko Basin, there are currently 31 rigs running with 14 rigs in the STACK, 14 rigs in the SCOOP and 3 rigs in the Granite Wash. Producers also continue to achieve strong well results in the basin. In the second quarter Enable connected 20 new wells in the SCOOP and STACK plays with peak one day natural gas flows of greater than 10 million cubic feet per day. Sustained producer activity and strong well results drove record natural gas gathered and processed volumes in the Anadarko for the quarter. And the basin has seen a 22% increase in natural gas gathered volumes since the first quarter of 2017 and a 24% increase in natural gas process volumes over the same period. With our market leading gathering and processing infrastructure, Enable is uniquely positioned to serve the significant production growth. As I mentioned in my opening remarks, Project Wildcat is now in service and operating at its fully contracted capacity, bringing critical processing, take away and market access to the Anadarko Basin, while providing attractive returns for our investors. Continental Resources illustrated this just last week in a press release highlighting significant pricing uplifts from Project Wildcat of $0.25 per MMBTU in June and $0.31 per MMBTU in July. Turning to the next slide, we continue to see production growth in our other basins as well. Strong producer activity and well results contributed to a record quarter for natural gas gathered volumes in the Ark-La-Tex Basin. Since the first quarter of 2017, gas gathered volumes in the Ark-La-Tex have grown 78% as producers improved their completion techniques and drilled longer laterals. In the Arkoma Basin, volume additions from previously announced gas gathering contracts are reversing the trend of declining natural gas gathered volumes. In the Williston Basin, we achieved record quarterly crude gathered volumes as a result of the previously announced Bear Den system expansion, commissioning of new pads on the Bear Den and Nesson systems and improved well performance. Recently, the Bakken Shale has become the most profitable basin in the US with a breakeven crude price of $34 and an internal rate of return per well at 54%, according to a report from S&P Global Platts Analytics. Turning to our transportation and storage segment on the next slide. I want to spend a few minutes on the FERC's recent announcements on the recovery of income tax costs before I cover the highlights for the quarter. First, I want to remind you that FERC-regulated natural gas pipelines generate a subset of our transportation and storage segment gross margin, which in total represented approximately 38% of our total 2017 gross margin. Next, the assets that are subject to FERC's rate jurisdiction generated substantial portion of their revenues from negotiated rate and discounted rate contracts that are less likely to be impacted by the FERC's policy change. To that end, on our last earnings call, we indicated that we did not expect any near-term impact from the FERC's revised policy statement. We can now extend that view to the FERC's final rule on the matter. To elaborate on that point a bit further, when we filed our general rate case for MRT on June 29, the rate case proposed, among other things, a recovery of an income tax allowance in our cost of service at a level consistent with our corporate ownership, which approximated 86% in that filing. On Tuesday of this week, as expected, we received a suspension order for our MRT rate case that suspended MRT's tariff records to be effective January 1, 2019 subject to refund, the outcome of hearing and settlement procedures at a technical conference. Despite the Commission's July 18 announcement indicating it would consider the issues and arguments for our income tax allowance in the context of specific proceedings, the MRT suspension order also directed MRT to re-file its case without an income tax allowance within 30 days. The elimination of the tax allowance, when coupled with the corresponding elimination of ADIT, is not expected to have significant impact to MRT's overall cost of service as calculated in the June 29 filing. As it relates to EGT, our other wholly owned interstate pipeline asset, we plan to file the required FERC Form No. 501-G no later than October 11, 2018. And while we are not able to predict when or if EGT will be required to adjust its cost of service rates subsequent to the filing of the 501-G, we continue to believe that if EGT was required to undergo a review of its rates, it seems unlikely that any such review would be complete much earlier than the second quarter of 2019 and any new rates would only be effective from the date of a final order. Let's move on to the details for the quarter. In the second quarter of 2018, we contracted or extended almost 6,00,000 dekatherms per day of capacity on EGT, including new seven-year contracts with a producer for 300,000 dekatherms per day of capacity on Line CP starting in 2020 that do not require any additional capital investment. EGT's case project, a 10-year 205,000 dekatherms per day firm transportation solution out of the Anadarko Basin achieved a planned contractual increase in volumes to 135,000 dekatherms per day and remains on track to grow to its fully contracted capacity by the end of the fourth quarter of 2018. The project is another great customer solution, providing new field with access to multiple premium natural gas markets. On MRT, we contracted or extended over 500,000 dekatherms per day of capacity in the second quarter, including re-contracting, transportation capacity with MRT's largest customer, Spire, at existing contract demand levels. Our recent MRT rate case filing demonstrates an annual cost of service of $103.6 million, an increase of approximately $20 million above the overall cost of service established in the settlement that resolved MRT's last rate case. The cost of service reflects current and proposed services, updated system investments and the latest capital structure and cost of capital. As I mentioned, we do not expect for the overall cost of service to change significantly when we re-file based on the FERC's latest order. Our EOIT pipeline system continues to benefit from increased Anadarko production as well as its core position with Oklahoma utilities. Our Muskogee project remains on schedule to be in service by the end of 2018 and once online, will provide OG&E 2,28,000 dekatherms per day of firm transportation service for natural gas-fired electric generation under a 20-year contract. Moving to my final slide, we continue to deliver on the key priorities that we outlined at the beginning of the year. The second quarter was another quarter of strong results combined with continued commercial success. We signed several key transportation contracts during the quarter, reaffirming the critical role our pipelines play in connecting natural gas supply and demand and our volumes continued to grow as we set records for quarterly natural gas gathered, natural gas processed and crude oil gathering volumes. We achieved two major project milestones in the second quarter with the commissioning of Project Wildcat and the planned increase in contractual volume for CaSE and all of our major 2018 expansion projects remain on schedule and on budget. Our trend of solid financial performance continued as we achieved a distribution coverage ratio for the quarter of 1.24 times. Based on our year-to-date performance and our expectations for the balance of the year, we anticipate that we will be at or above the midpoint of our outlook that we provided on our May call, for net income attributable to common units, adjusted EBITDA and distributable cash flow. We started the year off on a record pace and I'm very proud of all that we have accomplished. We plan to continue the momentum by remaining focused on delivering premier services to our customers and value to our investors. I will now turn the call over to John to further discuss our second quarter operational and financial results.
John Laws: Thank you, Rod. And good morning, everyone. I will cover a few of our key operational and financial metrics for the quarter. As always, you can find a more detailed and comprehensive overview of our financial and operational results and our second quarter earnings release and in our 10-Q, both of which were released earlier this morning. Turning to our operational performance slide. Customer activity and well results in the Anadarko and Ark-La-Tex basins continue to drive volume growth in our gathering and processing segment. As you can see, we had 34% increase in total natural gas gathered volumes and a 22% increase in total natural gas processed volumes in the second quarter of 2018, compared to the second quarter of 2017. We also saw increases in our crude oil gathered volumes for the second quarter of 2018, compared to the second quarter of 2017, primarily driven by several multi-well pads coming online on our recently expanded Williston Basin gathering systems. As Rod mentioned, we set records for natural gas gathering, natural gas processing, NGL production and crude oil gathered volumes for the quarter. The increase in NGL production was a result of both higher natural gas processed volumes and higher plant recoveries of ethane. In our transportation and storage segment, the increase in our transported volumes was a result of increased usage from power and LDC customers and increased off-system transportation. Moving to our financial results on the next slide. Our adjusted EBITDA increased by $30 million to $245 million for the second quarter of 2018. The higher adjusted EBITDA was driven by higher gross margin after adjusting for non-cash items due to higher natural gas gathered and processed volumes and higher crude oil volumes as discussed on the previous slide, higher NGL prices and new transportation contracts offset by a decrease in firm transportation services between Carthage, Texas and Perryville, Louisiana. The increase in gross margin was partially offset by higher O&M and G&A expenses. Distributable cash flow increased by $15 million to $171 million in the second quarter of 2018 due to higher adjusted EBITDA, partially offset by higher adjusted interest expense associated with the higher outstanding debt balance and higher interest rates along with higher maintenance capital expenditures. Our net income measures were unchanged for the second quarter of 2018 when compared to the same period in 2017. After considering the distributions declared, Enable generated a distribution coverage ratio of 1.24 times for the second quarter of 2018. We remain committed to maintaining our investment grade metrics, which are supported by the continued volumetric growth in our gathering and processing business and from firm fee-based and minimum volume commitment contracts in both of our business segments. To that end, we ended the quarter with a total debt to adjusted EBITDA metric of 3.8 times and significant liquidity under our revolver. And at this time, we continue to have no need to access the equity capital markets in 2018 to meet our financial objectives. Lastly, I would like to reiterate that we had another great quarter. And with that, great quarter and our view for the balance of the year, we anticipate that we will be at or above the midpoint of the outlook we provided on our May call for net income attributable to common units, adjusted EBITDA and distributable cash flow. With that, we will now open up the call for your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Jeremy Tonet with JP Morgan.
Unidentified Analyst: Good morning guys.
Rod Sailor: Good morning Jeremy.
Unidentified Analyst: This is Rahul on for Jeremy, actually. I just have couple of quick questions. Could you provide some additional color on the drivers for the top half guidance expectations as noted in your press release today? And if there is any scope for further revisions, given the producer activity levels you're seeing out there?
John Laws: Yes, sure. So, I'll start off with the guidance. I think we've had a great start to the year here now, being halfway through and quarters of one and two had substantial growth in 2018 relative to 2018 – relative 2017. And the volumetric trajectories that we're on, as well as the fundamentals that underpin the economics behind the continued drilling activity give us the confidence as we look to the balance of the year to guide to the upper end – excuse me, above the midpoint of the range. So feeling good about where we sit today as we look to the rest of the year.
Rod Sailor: Yes. This is Rod, I'd just add that, if you recall the first quarter, we raised our guidance and again, we continued to see strong activity across our system, we're very happy with the re-contracting we're seeing on the transportation and storage side of the business and it gives what gives us confidence to point to at/or above the midpoint of our guidance that we revised last quarter.
Unidentified Analyst: Got you. That’s helpful. And then with the Wildcat placed into service now, can you elaborate on the cadence of the Anadarko volumes step up for the back half of the year? And also, would you be able to provide any more details on the well connects expected in the basin for second half of 2018? I see, like you guys started like giving some bulk kind of information in the press release this quarter?
John Laws: Yes, I think we've not gone too far as to give specific guidance around well connection in general. I think the point that we were trying to make around the strength of the wells that we have connected and sharing that with you, it was to give you a little bit of that color and that insight as to what we're seeing in terms of the number of wells that we're seeing come onto our system that are exceeding peak flows, peak daily flows of 10 million a day and that again is also playing into our view and our confidence here. So we're not expecting a meaningful change or delta in the cadence of rig addition or well additions from what we've otherwise seen, but continued growth on top of the growth and the experience that we've seen today to get in the range of what we provided for our volumetric outlook.
Unidentified Analyst: And then finally, just if there is any more additional color you can give on the Haynesville volumes that are growing into MVCs?
Rod Sailor: Again we have continue to talk about for a number of quarters and very pleased with the continued growth in the Haynesville system, continue to see strong activity there from our producers and again we would anticipate that continuing.
John Laws: Yes and so similar to what we said on the last call, where we indicated that we would be exceeding the minimum volume commitment levels on one of our contracts there, that's continuing, which is now again – the increased productions and fantastic volumetric growth and now we're seeing it has increased margin as we exceed the minimum volume commitment on that one contract.
Unidentified Analyst: Got you. That’s helpful guys. That’s it from me. Thanks for taking my questions.
John Laws: Thank you.
Operator: The next question comes from Dennis Coleman with Bank of America Merrill Lynch.
Unidentified Analyst: Good morning, guys. This is [indiscernible] stepping in for Dennis.
John Laws: Hey good morning.
Unidentified Analyst: My first question, just a follow-up on Rahul's question on Project Wildcat, you mentioned that it's now operating at fully contracted capacity. Just wanted to get some idea about if you can – if there are ways to debottleneck that further and get more capacity with minimum spending and what that would be?
Craig Harris: Yes, this is Craig Harris, yes, I mean we do have the ability to move more volumes South and that's one of the items we'll continue to talk to our customers about and not just Wildcat, but our entire system. We work with our customers on ways to debottleneck our intra interstate and Wildcat in order to find efficient means to get our customers volumes out of the basin.
Rod Sailor: Again, at the end of the day we need to have the customer that wants to go South and you've heard now Continental talk about the significant uplift pricing they're able to get through Wildcat, you've heard Newfield talk about the CaSE getting them to better markets to price their product. Again, I think one of the things that we're very proud of and have been extremely successful as of late is getting our customers' gas out of the basin or to premium markets, and again we stand ready to continue to work with customers to get their gas where it needs to be.
Unidentified Analyst: Thanks for that. Quick follow-up to that. So the fully contracted capacity, what's the number there?
Craig Harris: The Wildcat is of 400 million a day system.
Unidentified Analyst: Okay, got it. And just on the same line, you mentioned in the 10-Q, it was noted that you continue to see need for – natural gas processing needs and could be the redemption of construction on the Wildhorse plant, although not likely before 2019, are you referring to the construction or the in-service fees when you…
Rod Sailor: Yes, we haven't said anything else about Wildcat, but you are correct, the continued need for processing capacity in the basin, we'll continue to study when is the proper time to resume construction on Wildhorse, I believe is when you're talking about. And again, that is, we have done the site work, we have the plant shrink-wrapped, it's just a matter of putting it into place and not to minimize that involve significant construction work. We're ready and feel really good about the direction of volume growth in the Anadarko.
Unidentified Analyst: Got it. Just one more before I get back in the queue. In terms of the water gathering business, it would be helpful if you can get some color around how meaningful that business is now and going forward and what opportunities lie there? Thank you.
Craig Harris: We do have a water gathering system in the Bakken and that continues to expand. We talk about the expansion of crude volumes as we are expanding in the Bakken for our crude volumes we continue to expand that system for water as well. And we are seeing – as the production ramp-up, just well by well in the Bakken we're continuing to see actually the ratio of water go up, so it continues to climb at a steady pace.
Rod Sailor: And we've expanded our Bear Den system now three times and so we continue to look at opportunities around that.
Unidentified Analyst: Great, thank you so much.
Operator: [Operator Instructions] The next question comes from T.J. Schultz with RBC Capital Markets.
T.J. Schultz: Good morning. I guess just first staying in the Anadarko, obviously rig activity remains strong, is there any need or plans for you all to further support your customers with crude projects or crude handling in the SCOOP and STACK?
Rod Sailor: Yes, I would just say that that has been a bit of target of ours for a while. We'd love to get more exposure to – get exposure to crude handling in the Anadarko. To-date, we haven't been successful in accomplishing that, but it is one of our objectives to try to get to deeper into all the services that midstream providers provide in the Anadarko.
T.J. Schultz: Okay, good. And then just moving to MRT, so you extend Spire for another year. I guess what are you expecting for that capacity after that contract expires then and the rate case, is that something you will be able to factor into this rate case with a potential that they may not extend further?
Rod Sailor: I think we've always said that again we anticipate some turn back when their St. Louis lateral gets built, they will still need some of that capacity. We will amend our current rate filings to take into consideration the newly re-contracted capacity. When they make a decision or that lateral comes into service depending on how much capacity they decide to turn back and again we've always said, there'll be some turn back, but they still need that capacity, they still need southbound transport, we'll file another rate case to take that into effect. So you could see us filing multiple rate cases on MRT.
T.J. Schultz: Okay, makes sense. And then what percent overall and then maybe specifically on EGT are negotiated rates?
Rod Sailor: Can you say the question again, T.J. I'm sorry?
T.J. Schultz: I'm just looking for the breakdown of negotiated rates versus cost of service rates, what percent?
Rod Sailor: Yes, so, we last provided that on our call, just last quarter and someone through [ph] try to get the number. So on EGT, I think what we said was when we looked at overall contracted capacity that 62% was under negotiated rate agreements and then we had another 23% that was discounted.
T.J. Schultz: Okay, perfect. Thank you.
Operator: The next question comes from Ned Baramov with Wells Fargo.
Ned Baramov: Hi, thanks for taking the question. On the Line CP contract, you indicated there is no CapEx requirements for it. Could you maybe talk about others such potential opportunities around your transportation assets?
Rod Sailor: Well, I think I can start that and if Craig wants to fill in, he can. We have continued to expand both our EGT System and our EOIT System to handle the prolific production that we're seeing in the Anadarko and are now seeing in the Haynesville. And so we have – you'll continue to see us run after ways that we can either expand our system or debottleneck our system to move more customers' gas. The Line CP is, I think, it has a premier location in and around growing production in the Haynesville and continue to look at ways to further fill that pipeline or as we've said on a number of calls, potentially better ways to use that pipeline, be it changing flow patterns, creating header systems, those are all things that we have talked about and Craig and his team are actively looking at hose opportunities.
Ned Baramov: And then my obligatory question on maybe your thoughts on resuming distribution growth?
Rod Sailor: Yes, no, look as we've said, clearly we think where markets have been, we feel the best use of capital – of our distributable cash flow is keeping it inside the company to fund some significant organic growth opportunities, and I believe as we sit here today that continued balance sheet strength and continued use that cash flow is the best use for us and for our investors is to keep that – those dollars inside the company. And we continue to look at the market, we continue to look at our future capital needs, and again we evaluate our balanced distribution growth and keeping that cash inside the company every quarter and we'll continue to do that, continue to monitor where we think the market is going.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Sailor for any closing remarks.
Rod Sailor: Thank you. And in closing, just a couple of things. While we'll have time to celebrate Paul and his many accomplishments before we got off the call today, I just wanted to again thank Paul for his many years of service. At Enable, he has set a high standard for leadership. He leaves a legacy of safe and reliable operations and the team are committed to those ideals. And as always, I want to recognize our employees for their hard work and dedication. And I want to thank everyone on the call for your interest in Enable. Thank you. Have a great day.
Operator: Your conference has now concluded. Thank you for attending today's presentation. You may now disconnect.